Operator: Good day, and thank you for standing by. Welcome to the TDS and U.S. Cellular First Quarter 2021 Conference Call. . It is now my pleasure to turn the call over to your speaker today, Ms. Jane McCahon. Please go ahead.
Jane McCahon: Thank you, Grain, and good morning, everyone, and thank you for joining us. We hope that you and all your families are doing well. I want to make you all aware of the presentation we have prepared to accompany our comments this morning, which you can find on the Investor Relations section of the TDS and U.S. Cellular websites. 
Peter Sereda: Thanks, Jane, and good morning. Before speaking about the balance sheet and our funding strategies, I want to make you aware of the change present to the TDS Telecom. Starting this quarter  disclosures will now be presented at the sales segment, and the wireline and cable segments will belong to reported . We believe this change not only aligns with how we manage the business and evaluate operating performance today but also enhances the visibility into how TDS Telecom is performing against its strategic objectives. The combined view better depicts our progress and success in leveraging a single cost base to become the preeminent broad...
Jane McCahon: Operator...
Peter Sereda: The change in segments -- I'm sorry. The change in -- yes, are you still there?
Jane McCahon: Yes. You cut out for a minute.
Peter Sereda: Okay. The combined view better depicts our progress and success in leveraging a single cost base to become the preeminent broadband provider in each market in which we operate. The change in segment reporting has no impact on the net income of TDS Telecom in prior periods and have been conformed -- and prior periods have been conformed to the current presentation.  You will notice that we have made enhanced disclosures of our progress in building out fiber-to-the-home in our presentation today so that you can more closely follow our progress in this very important initiative. Also, in terms of the results and impacting year-over-year comparisons, I want to remind everyone that we have a higher tax rate in 2021 compared to 2020 due to the income tax benefits of the CARES Act, which provided a onetime rate benefit in 2020 that does not recur in 2021.  Regarding our balance sheet, both TDS and U.S. Cellular are taking action to lower interest expense, given the favorable market environment. In April, TDS and U.S. Cellular both announced redemptions of select senior notes. TDS is redeeming $225 million of its 6.875% senior notes and $300 million of its 7% senior notes, and U.S. Cellular is redeeming $275 million of its 7.25% senior notes for a total of $800 million. We will continue to look for ways to avail ourselves of other low-cost financing vehicles to further lower our interest expense.  As we've discussed on prior calls, maintaining financial flexibility is one of the pillars of our corporate strategy. Over the years, we have worked to retain relatively low leverage levels, long-dated debt maturities, sufficient undrawn revolving credit facilities and significant cash balances while at the same time making sure we have the financial resources we need to fund our businesses.  As you see on Slide 4, at the end of the first quarter, TDS continues to have a good financial position, including ample available funding sources, consisting of cash and cash equivalents and available credit facilities. While we will be using some of our available cash and partially drawing on our TDS revolver to call the notes previously mentioned. We believe we will have ample remaining cash balances as well as excellent access to the debt markets if additional capital is required and as further steps to reduce our interest expense are taken.  U.S. Cellular and TDS Telecom are currently both in investment cycles, with U.S. Cellular investing in network modernization, 5G and spectrum and TDS Telecom aggressively investing in fiber expansion. In March, TDS issued $420 million in perpetual preferred stock, which will be used primarily for funding fiber deployments and the repayment of debt. This transaction enabled us to raise significant proceeds while protecting our credit rating. 
Laurent Therivel: Thanks, Pete, and good morning, everyone. Flip to Slide 6. Our strategic imperatives are simple. We're designed to drive growth and improve return on capital over time. I think we're off to a really good start this year. I'm going to let Doug cover the operational and financial highlights for the first quarter, then I'm going to provide a few thoughts on strategic priorities.  First, I stated on previous calls that one of our areas of opportunity is to enter into strategic partnerships, better leverage the value of our assets and to grow the business. We made progress on this objective in April by signing a tower MLA or a master lease agreement with DISH Wireless. We expect this agreement to contribute to our tower revenue growth beginning in 2022. Any details on the deal have to remain confidential, so please keep that in mind if you've got additional questions.  I spoke to you last quarter about some of our new initiatives to drive growth, including a regionalized approach to drive market share and plans for our business in government and prepaid segments. We have full steam on these, and I'm pleased with our progress. And you see that in year-over-year improvement in gross additions and improvements in churn for both postpaid and prepaid.  I'm also excited for the next evolution of our brand journey and our new tagline, America's Locally Grown Wireless. U.S. Cellular has always been known for its outstanding network, its branding highlights, and strong local presence we have in our markets. I think this is what sets us apart from our competition and it reflects our culture and our values.  More about competition. The competitive intensity of the wireless industry remains high, and we intend to respond as appropriate. Given the total spend on the C-band auction, I'm expecting continued rational pricing, and that most of the promotional activity will remain related to devices, and I think that's a world we can live in economically.  A few words on our network position. Network performance continues to be a hallmark of our strategy. We're continuing our network modernization program and our multiyear 5G deployment. We've deployed 5G over each layer of spectrum, low, mid and millimeter wave. Our initial deployment for coverage is on clean low-band spectrum via 5G available to some degree in 18 states today. 
Doug Chambers: Thanks, LT. Good morning. As LT mentioned, we're off to a good start this year. Let's start with a review of customer results starting on Slide 7. Postpaid handset gross additions increased due to higher switch activity and our ability to capture a larger portion of that switcher group this year versus last year. The switcher group increase was driven primarily by March activity, which was severely depressed last year as a result of the unfolding pandemic and was bolstered this year by stimulus payments. 
Vicki Villacrez: Thanks, Doug, and good morning, everyone. I'm very pleased with our results for the first quarter. We had strong growth in both broadband connections and revenue. Overall, we grew total organic connections for the third consecutive quarter. We added 13,000 fiber service addresses to our footprint and continue to execute on our fiber strategy. Overall, we grew our top line 4%.  As Pete referenced earlier, the change to 1 segment reporting results in a combined presentation of our wireline and cable operations. We have been on a trajectory to integrate our businesses around the common strategy of providing superior broadband service and complementing that with value-added video and voice service bundling.  Whether it is our markets where we have upgraded copper or building fiber or provided DOCSIS 3.1 capability, we are striving to increase Internet speeds to better serve our customers. On a combined basis, we are able to offer 1-gigabyte speeds to 55% of our total service addresses. We remain committed to our strategic priorities we've been invested in for several years.  Our primary strategic objective is to provide growth by investing in our high-speed broadband services. We have a multifaceted approach to this growth that includes leveraging our existing networks and constructing greenfield fiber in opportunistic locations. With support from the FCC's A-CAM program and state broadband grants, TDS Telecom is also deploying high-speed broadband to customers in rural areas within our incumbent market.  If you turn to Slide 17 of the earnings presentation, total residential connections increased 4% due to residential broadband growth in new and existing markets, partially offset by a decrease in voice connections. Total telecom broadband residential connections grew 9% in the quarter as we continue to fortify our network with fiber and expand into new markets. Bolstered by this growth, wireline broadband residential connections grew 10% and cable increased 8%.  Total broadband penetration continue to increase, up 100 basis points to 38%. Overall, higher value product mix and price increases drove a 5% increase in average residential revenue per connection. Cable average residential revenue per connection reflects a higher mix of video connections relative to wireline. Our investment in TDS TV+ and our expansion into new markets will drive video connection growth.  On Slide 18, you can see the broadband connection growth across all markets. This quarter, we achieved a major milestone, reaching 0.5 million total broadband subscribers. Residential broadband revenue grew 16% in total in the quarter. We are offering up to 1-gigabyte broadband speeds in both our fiber and DOCSIS 3.1 markets. The 1-gigabyte product is an important tool that allows us to defend markets and win over customers in new markets. In areas where we offer 1-gig service, we are seeing 17% of our new customers taking this superior product.  Now turning to Slide 19. We have augmented our success, growing broadband with our TDS TV+ offering. Our next-generation video platform enhances the customer viewing experience and, as a bundle, these products provided best-in-class customer service and help us to increase our broadband market share and reduce churn. Residential video connections held nearly flat. Wireline growth of 7%, driven by our expansion markets, nearly offset losses in the cable market. Video continues to remain important to our customers. Our strategy is to increase our video connections through the offering of our cloud-based TDS TV+ product. This rollout of this product currently covers about 60% of our total operations.  We continue to be bullish on our fiber strategy, which is shown on Slide 20. Fiber is the most economical long-term solution to deliver the best broadband experience. Selecting the right markets remains key and we have an attractive funnel of markets identified. In fact, Coeur d'Alene, Idaho and Spokane, Washington topped the list of the country's hottest emerging housing markets. This is according to the recent ranking by the Wall Street Journal.  Our marketing and sales techniques enable us to effectively market at a neighborhood level. This gives us tremendous flexibility over timing and execution to consistently target a high broadband take rate. Our strategy to cluster our market is critical as it gives us economies of scale and better returns over time. Additionally, our strategy capitalizes on strong macroeconomic trends such as growing work-at-home environment, strong population migration in our chosen markets, favorable advances in technology and bipartisan support for rural broadband funding.  Slide 21 shows the progress we are making this year on our multiyear fiber footprint expansion, which includes fiber into incumbent markets and also expansion into new markets. As a result of this strategy over the last several years, 321,000 or 38% of our wireline service addresses are now served by fiber, which is up from 32% a year ago. This is driving revenue growth while also expanding the total wireline footprint 6% to 855,000 service addresses.  Moving on to Slide 22. We've highlighted the total service addresses for the clusters that are in construction and we are actively marketing. We have completed 321,000 fiber service addresses through the first quarter and are working to build out the footprint in these announced markets to 620,000 service addresses by 2024. We have identified other attractive opportunities where we can be first to market and expect to plant our flag in these markets in the near future, which will increase these numbers.  We continue to be pleased with overall take rate in the areas we have launched to date. Our preregistration rate, which indicates the demand we are trying to satisfy, are even higher than our expectations. And we have a very high conversion rate when construction is completed. We are scaling up and are expecting our fiber service address delivery to double in 2021 from the prior year.  On Slide 23, total revenues increased 4% to $249 million, largely driven by the strong growth in residential revenues, which increased 9% in total. The chart includes residential revenue mix, which highlights the increasing contribution of our expansion market. Incumbent wireline markets also showed impressive growth of 6% due to increases in broadband and video connections as well as increases from within the broadband product mix. This was partially offset by a 2% decrease in residential voice connections.  Cable residential revenues grew 9% due to an 8% increase in broadband connections. Commercial revenues, which continue to be impacted by CLEC declines, decreased 6% to $47 million in the quarter. And wholesale revenues decreased 3% to $45 million due primarily to reductions in special access in the incumbent wireline market.  So let me sum up. The combined financial results for the quarter as shown on Slide 24. Revenues increased 4% from the prior year as growth from our fiber expansions and increases in cable broadband subscribers exceeded the declines we experienced in our legacy business. Cash expenses increased 5% due to additional employee and advertising expense related to our expansion market. We also saw increases in video programming costs and information processing expenses, where we are making IT investments to simplify and consolidate our support systems.  Adjusted EBITDA declined 1% to $81 million on lower interest income compared to last year. Capital expenditures increased 30% from last year to $70 million as we continue to increase our investment in fiber deployment and success-based spend for new customer installs.  And finally, moving to Slide 25. We have presented guidance, which is unchanged from what we shared in February. We have had strong broadband connection growth across all our markets of operation, combined with increased average residential revenue per connection. We continue the rapid advancement of our fiber deployment in new markets, but we have portions of our fiber build that depend on third parties, which may impact our ability to stay on our very aggressive service address delivery schedule. I will continue to update you as we move through the year.  And with that, I want to thank all our associates for their continued dedication to our challenging growth agenda. We have had a successful start to the year and look forward to updating you on the second quarter. And with that, now I'll turn the call back over to you, Jane.
Jane McCahon: Thanks, Vicki. And operator, we're ready to take questions.
Operator: . Your first question comes from Rick Prentiss from Raymond James.
Richard Prentiss: I want to take a look first at the guidances. At U.S. Cellular, came in strong in the quarter. And as we think about run rating that, obviously, increased the low end but kept the high end flat. I think Doug, you mentioned you're expecting maybe higher loss on equipment promotions. So as you think through that, is process service kind of at a good run rate level? And with the competitive environment, do you think you'll be able to achieve positive postpaid phone adds in future quarters and maybe for the year?
Doug Chambers: Yes. And so with respect to the run rate of our guidance, and we mentioned it in the call, the reasons we took it out with service revenue increase, resulting to miscellaneous revenues as well as favorability and regulatory revenues and rate plan mix. From a run rate perspective, selling and marketing expenses are a little bit back-end loaded towards the end of the year. And we also have some peaks in some operations expenses in the second and third quarter with heavy construction and maintenance season. So the run rate is not quite uniform throughout the year when we look at that.  So again, I think we said it the reasons for the guidance in the comments. With respect to -- with the increase in subscribers, we don't guide specifically to subscribers, but we certainly -- we've stated that we are very focused on growing market share as well as growing our sub base. So I think the answer to that question is yes.
Richard Prentiss: Okay. And for Vicki, on the TDS side, similar question then. Strong quarter, $81 million of adjusted EBITDA. What should we think as far as why you wouldn't be headed towards the high end of that guidance or why couldn't guidance go up? I assume there is some sales and marketing cost of service increases as you roll out more markets. But just wondering, the trends on TDS Telecom.
Vicki Villacrez: Yes. Thank you for that question. We did have a strong quarter. Very pleased with our quarter and where we're headed. And it's certainly -- the strong start has given us some headroom on the year. As you know, we're ramping up our construction in our fiber deployment, both within our incumbent market and in new expansion markets. And that's going to ramp up through the year. And so while I expect new growth revenue to come in for the year, we are also going to be experiencing higher costs with the launches of these new markets. Every day, we're turning up new neighborhoods. And as these come into the fold, we have the upfront costs associated with that. But we're well on track for hitting and staying within our range of guidance at this point.
Richard Prentiss: And then following on, last question would be supply chain. On the U.S. Cellular side, any issues. We've heard other get on their conference calls, talked about being skittish on the supply chain. Any concerns on handset supplies, network supplies? I know LG is out of the handset business. But just as from a supply chain standpoint from U.S. Cellular, both at the network side and from TDS Telecom, it does seem like given the 150,000 service addresses added this year, it might be tough. Just kind of talk to that.
Laurent Therivel: Rick, it's LT. Two drivers on the supply chain side that you mentioned, I think they're the 2 big ones that we're paying attention to. LG is the first. We are well prepared for that. Mostly, LG -- most of the LG sales are in the prepaid side of our business and we've got a fairly robust device ecosystem, so that does not concern me. I think we're well prepared that we can serve the demand that's out there.  Chipset side of the house, I pay a lot of attention to. Thus far, I'm not seeing effects on our business thus far. If there are impacts, we think we can manage it. But that one, I'm paying a lot more attention to. I'm not sure if I would use the word skittish, but concerned certainly. So that one, we're kind of looking more closely at. Thus far, no impact, but that's not to say that it couldn't -- if we start to see that ramp up. Vicki, you want to answer the telecom infrastructure set?
Vicki Villacrez: Yes, sure. We've been watching the supply chain very carefully, and we're in constant touch with many of our suppliers. And in some cases, we've diversified our suppliers where it's made sense. And having those choices helps. But right now, I think the biggest risk I see is the lead times are getting longer. And therefore, we have to be more diligent in our forecasting and our sourcing of our product needs much further in advance.  And so some of the capital spend starts to go towards building up inventory. Not significant yet but definitely something we're watching. We're sensitive to the availability of electronics and gear that's associated with our fiber build. You're thinking about heads, connectors, drives, ONTs, modems, the chipsets are in modems. And so these are kind of the areas where we're seeing longer lead times. And so our partnership with our suppliers is really important. Thus far, we haven't had any issues with sourcing fiber, and we do secure that inventory with a longer lead time.  Now as I think about your second part of your question, which is we delivered 13,000 service addresses in the first quarter, but we're looking to scale up and double down on the full year of delivering 150,000 service addresses. And our construction is not without challenges or obstacles, but we expect that really to ramp up. These are complex, large projects. And so securing the contractors and the labor for building out the fiber is also a critical component of our sourcing. And as we think about planting flags in new markets, working and contracting with those suppliers continues to be critical.
Operator: Your next question comes from Phil Cusick from JPMorgan.
Philip Cusick: A couple if I can. First, LT, you talked about the market going to promotions on handset discounts. I heard you that churn remains low and then involuntary, in particular, is low. Are you seeing involuntary churn ticking up at all as the world sort of reopens? And any shifting where customers are going when they leave?
Laurent Therivel: Slight upticks, involuntary churn, but I think completely in line with what you would expect when you start to see a little bit of a larger switcher pool. Answer to the second question is no, there's not a big shift in where they're going. So the -- we don't publish it but our win share and our loss share and our port ratios to different carriers has remained generally constant. So not a big shift there.
Philip Cusick: No impact from sort of cable getting more aggressive with T-Mobile showing up a little bit more in these markets?
Laurent Therivel: We're not seeing it yet. I mean, I'm not suggesting that there's 0 impact. But in terms of incremental impact, I mean, thus far, we're not seeing it.
Philip Cusick: Okay. And then, Vicki, under the categories of what have you done for us lately, I heard you say that new fiber addresses will double this year versus last. I think, 150,000 you said. Can you accelerate that fiber construction further? And any sign of incumbent telcos building in some of the areas that you find attractive outside of the LEC footprint?
Vicki Villacrez: Yes. So great question. We're very focused on scaling up our operations. Doubling our fiber -- the number of constructed fiber locations over last year, I think, definitely shows that the organization is scaling up. And last year, we more than doubled the prior year's. So we are very much focused on how can we go faster, how can we accelerate these builds.  And it's a real partnership, quite frankly, with the city -- the cities that we're building in, the support that we need from the city officials, the partnership with our suppliers and our construction contractors and then our own teams. And we're learning and we take those learnings and we put them into the next build. And of course, there's always going to be challenges as we run into different obstacles throughout the way. But we're learning and pushing our way through those.  In terms of -- good question around the ILEC competitors. We were very confident in our fiber strategy, and we feel we've got a significant headstart over the other telcos that are just starting to now focus on deploying fiber. We've been doing this for a long time. We've fibered up 1/3 of our own footprint or overbuilt our own markets and we learned from that. And I think we're just continuing to accelerate our program and we've got a headstart.
Operator: Your next question comes from Simon Flannery from Morgan Stanley.
Simon Flannery: LT, you talked a little about some of the new initiatives on to focus on growth. Give us a sense of where we are in the rollout of these and the impact. When do you think we'll see the full benefits of these programs coming through in the results? Obviously, some good progress this quarter. But do you think we'll see more as we go through the year? And maybe any thoughts on just what's driving the total industry adds that we've seen here. I think you mentioned stimulus checks on one level, but any other thoughts would be great.  And then, Vicki, perhaps some thoughts on the infrastructure bill and broadband funding from municipalities and others, how you think about -- is there opportunity for TDS there? Any thoughts would be great.
Laurent Therivel: Simon, in terms of growth drivers, I would -- I pointed 4 and let me just kind of give you a bit of an update on each one of these. So part of the ones I talked about on previous calls was regionalization or taking a regional approach. We've started doing that, and so we started trialing different promotional activity in different regions. Frankly, think of it as doing a de-testing on a regional basis and it's working.  We think we're able to pretty quickly hone down on which promotions resonate, which ones don't, which drive traffic. And so from a regional perspective, I think that, that one is working nicely. It's where I would expect it to be. And you can see some of the results in our postpaid, what we're doing from a postpaid perspective.  We talked about prepaid. You're already starting to see some of the results of the greater focus on prepaid in our results in this quarter, and I expect that's going to pick up for the rest of the year. The initial focus was around life cycle management. I talked about, initially, we would reach out to our prepaid customers pretty irregular in the sense that we'd send them a note when they joined the network. We'd send them a note when they run out of eligibility, and we'd send them a note when they were no longer a customer.  We're starting to become much more active around that and reaching out to our prepaid customers more often, gives us the opportunity to bring down churn. You see that in the results, gives us the opportunity to expand ARPU. And what it also allows you to do when you have churn that goes down and you have an expanded ARPU, you can get more aggressive from an acquisition perspective. So I'm comfortable with where we're at from a prepaid perspective.  Business and government is still a work in progress. I'm comfortable with what we put in place. But this is a longer-term initiative. So we hired  who's from  Sprint. I think she's done a lot of really good initiatives in place around expanding channels. So we started to get a bit more aggressive on the indirect side, partnering with value-added resellers, partnering with master agents. Those things take time and I expect that, that's going to be picking up. And you'll probably start to see results late this year, early next in terms of seeing a bit more increase in activity from the business and government sector. It has a longer lead time than and I would expect it to.  And the final one that I'd talked about is increase in partnerships. And so you've already seen the impact of us taking a more aggressive approach to partnerships with the DISH in LA. And then I can't get into the details on the contract itself, but just to kind of give you an idea about what that means, "Okay, that's nice, LT. What does it mean to be more aggressive from a partnership perspective?"  We hired Austin Sommer  to come and run that portfolio as well as other things, roaming, business development strategy. And one of the things that we've looked at is how can we become a more attractive partner to people that are interested in getting access to our towers, right? No secret, our co-location rate has been lower than the industry average and we've got to fix that. While there's things that you can do that are fairly tactical to make yourself more attractive and could bring your cycle time down processing applications, we've done that. Cycle times are down considerably over the last 6 months.  The thing that we did is we took a look at just some of the policies in our towers. So in the past, right, we would reserve a pretty significant amount of data center space or overall tower space for a potential network expansion. We're still reserving it. We brought that down a little bit so that we could expand the amount of capacity with our available partners. The thing we did is we said, look, we've got assets at those towers in the form of generators and shelters and backhaul, and we're willing to share that with our partners if the economics make sense. And so we've taken those actions. I think the DISH deal is the first example of those actions bearing fruit and I expect to see more. So hopefully, that gives you some flavor about how we're doing from a growth perspective. I'm encouraged. I expect to see those efforts continue to bear fruit, certainly throughout the rest of this year and particularly going into next.  Vicki, let me want to hand it over to you for the other question.
Vicki Villacrez: Sure. On the infrastructure proposal, we're watching this as it develops. We've seen the summary information, but I think the details are still forthcoming. I think critics are taking aim at different elements. But I expect the broadband portion to likely survive the process. The total spending where it ends up may be scaled back a bit. I'm not sure, but I think it's too early right now to speculate on how specifically the build is going to drive further growth at TDS Telecom, but we're definitely watching its development.  But standing back, just from additional funding from government programs, we have a long history of participating. And right now, we're currently active, as you know, in the FCC's A-CAM program. And without that level of support, we would not be able to make the economics work to build for the very remote areas that we're building right now. And as we're in the fifth year of that program, we build out to half of the 160,000 location obligation under that program. And we have more work to do under that.  But we're also in active discussions with the FCC and others on extending the A-CAM program because if you recall, the star of that program was about 25-megabit speeds. And through the pandemic and the acceleration of broadband adoption and growth that we're seeing and the adoption of higher speeds, we're talking about maybe extending that program to build out to even higher speeds longer term. So -- and we're also participating in state broadband programs, the FCC's Lifeline broadband program, EBB. And so -- and also the American Rescue Plan. We're evaluating participation in that. So lots of opportunities that are in play and we can update you as we move forward.
Operator: Your question comes from Michael Rollins from Citi.
Michael Rollins: I want to go back to the comments, LT, you're making about partnerships. Just curious if you're also considering alternative strategic relationships with the industry. If you look at the direction of competition in your markets, is there an opportunity to improve the structure of your markets and to be able to just help that longer-term competitive positioning?
Laurent Therivel: Simple answer is yes, Mike. I've been fairly clear on even on past calls that we're interested in a variety of different ways for us to better serve our customers, better improve return on capital. And I think that if you look at C-band, the amount of money that was spent in the industry on C-band, the amount of money that's going to be required to deploy that C-band spectrum, I think it's incumbent upon us as an industry to be creative on the way that we think about deploying that, the way we think about getting the best speeds and the best experiences to our customers in the most capital-efficient way. And so the simple answer is yes, right? We're certainly evaluating those options. These things take a lot of time. They don't just happen overnight, but that's something we're looking at.
Operator: Your next question comes from Sergey Dluzhevskiy from GAMCO Investors.
Sergey Dluzhevskiy: My first question is for LT. Obviously, it's great to see our lease agreement with DISH Wireless, and I understand that you guys are limited as far as what you could say. But could you maybe talk a little bit about the background of this deal, how it got to that point? And also maybe just, in general, talk about other conversations with other companies. What types of companies are you talking about potential lease agreements? Are there any nontraditional players that you're talking to?
Laurent Therivel: Yes. Sergey, so I mean, how the deal came about. I mean, obviously, I'm fairly limited on what I can share. But I mean, just broadly, I think that we tried to make it fairly clear that we were open for business as far as our tower assets. I think that we have a relatively attractive value proposition. So I mean, my traditional competitors, from a wireless business perspective, I think about AT&T, Verizon and T-Mobile. And the tower business, obviously, have a different set of competitors.  And so I think about our value proposition vis-à-vis those competitors a little bit differently. I think we've got the opportunity to provide better levels of customer service, faster cycle times, talked about that. I also think we have a set of assets that we can share in the form of shelters and generators and so on that some of our competitors can't.  And frankly, I think that as a wireless operator, I'm also a customer of towers, and I understand what my customers want. And we're trying to take a fairly customer-friendly approach that some of our competitors don't always do. And so you put all that together, I think we're able to offer a pretty good value proposition, and clearly, that value proposition resonated with DISH. And I fully expect that, that's going to resonate with others as well.  I mean we're fairly actively marketing those assets. We have a partnership with a marketing firm to help us with that. They do a pretty good job beating the bushes for potential customers, and I expect those co-location rates to go up over time. And those are dollars that drop right to the bottom line in the form of positive cash flow. So I'm optimistic about that business and we're going to keep pushing.
Sergey Dluzhevskiy: Great. And on a related question, your sister company, TDS Telecom has meaningfully improved its growth profile through fiber builds. And with the tower business maybe running it more like a tower company, potentially become a similar growth vehicle for U.S. Cellular, potentially enhancing revenue and profitability profile and helping increase valuation multiple on the stocks.
Laurent Therivel: I mean in terms of the strategic opportunity for the tower business, I agree. I mean that's a reason we're investing in this. I think it can be an attractive driver of growth. From a revenue perspective, I would argue more importantly from the cash flow perspective, right? It's an attractive vehicle for growth for us.  I mean, we talked about -- I think we've kind of covered the separate company question in the past and that's not something that we're interested in doing. I think we see a lot of benefits in the operational synergies it provides us. The interesting thing is, in the past, we really looked at those operational synergies as primarily one-sided, meaning we own towers and they provide benefit to our network organization.  What we're realizing is that there's another side benefit that being a network company that uses those towers, you can provide benefit to your customers differentially. I talked about that already but I think there's upside in both sides of the tower business. And you can expect to see us continue to push on that asset.
Sergey Dluzhevskiy: Great. My next question is for Pete. So there were some buybacks in the quarter, minor buybacks at both U.S. Cellular and TDS. But if one marks your cellular stake to market, TDS Telecom, which is transforming into growing fiber, and cable broadband business is trading, still at implied multiple of around 3.5x EBITDA, so why isn't this a level where you guys could do a more meaningful buyback or maybe a more consistent repurchase while still balancing your other capital allocation objectives?
Peter Sereda: Sergey, thanks for the question. We've talked about, in the past, the balance that we're trying to maintain between having the dry powder to invest in all the things that Vicki and LT have been talking about today and returning cash to our shareholders through both the dividend. Don't forget about the dividend and share repurchase. And you saw this quarter that we went out and we raised some capital in a rating agency-friendly way. I'm talking about those perpetual preferred securities.  So the rating is very important to TDS. It's part of our long-term sustainability of the enterprise. And so again, it's just a balance that we have to maintain. And as we ramp up the funnel that -- the fiber funnel that Vicki has discussed, we have to make sure that we've got the funds to make those investments, all the significant investments that we've been talking about here. So we're going to continue to look at that balance. And it probably will never satisfy you, but we'll do as much as we can maintaining that balance.
Sergey Dluzhevskiy: Great. And my last question is for Vicki, kind of on the competitive environment in the markets, particularly in the expansion fiber markets. You're certainly seeing nice broadband connection growth in those expansion markets. And I was wondering, what kind of competitive response have you seen so far from the incumbent players? And has anyone gotten particularly aggressive in some of those markets?
Vicki Villacrez: Right now, competitive response has been at minimal levels right now, Sergey. And I'm watching for a number of things. One, it's response from the cable company. As we go into these new markets with fiber expansion, quite frankly, we expect to share the market with the incumbent cable company. What if they've upgraded their network, we're both able to offer 1-gig speeds and we're even aiming, down the road to, offer multi-gig speeds.  The ILEC or the incumbent telephone company, for the most part, we've not seen any significant competitive response from them. Now I know some companies are now talking about fiber deployment plans, but in these markets, we get in there, we finish our construction. And with our preregistration sign-ups, we have -- we get significant market share early in the first 12 months. So that strategy is working very well.  The third thing we watch for, certainly, is other fiber overbuild -- overbuilders, whether they're coming into the same market or they're beating us to a new market that we have our eyes set on. And right now, that's -- I think that's the biggest focus. There's a lot of opportunity in the U.S. Our funnel, our fiber funnel is wide. And as we're looking at our most attractive markets, I thinks getting to market first is key.
Operator: There's no further questions at this time. I would now like to turn the call over back to Jane for closing remarks.
Jane McCahon: I'd like to thank everybody for joining us today, and we look forward to further updates.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.